Operator: Good day, and thank you for standing by. Welcome to the First Quarter 2025 Pacira BioSciences Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be the question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over, to our first speaker today, Susan Mesco, Head of Investor Relations. Please go ahead.
Susan Mesco: Thank you, and good afternoon everyone. Welcome to today's conference call to discuss our first quarter 2025 financial results. Joining me are Frank Lee, Chief Executive Officer; Jonathan Slonin, Chief Medical Officer; and Shawn Cross, Chief Financial Officer. Tony Molloy, Chief Legal and Compliance Officer; and Brendan Teehan, Chief Commercial Officer, are also here for today's question-and-answer session. Before we begin, let me remind you that this call will include forward-looking statements subject to the Safe Harbor provisions of federal securities laws. Such statements represent our judgment as of today and may involve risks and uncertainties. This may cause our actual results, performance or achievements to differ materially. For information concerning risk factors that could affect the company, please refer to our filings with the SEC. These are available from the SEC or the Pacira website. Lastly, as a reminder, we will be discussing non-GAAP financial measures on today's call. A description of these metrics, along with our reconciliation to GAAP can be found in the news release issued earlier this afternoon. With that, I will now turn the call over to Frank Lee.
Frank Lee: Thank you, Susan, and good afternoon everyone. I'm pleased to say 2025 is off to a solid start. We started the year by introducing our 5x30 path, to value creation to advance our transition into an innovative biopharmaceutical company. To remind you, the plan supports two broad strategic imperatives. First, accelerating growth in our strong commercial based business, and second, advancing an innovative pipeline of potentially transformative assets like PCRX-201. In just a few short months, we've achieved early and meaningful 5x30 milestones with respect to growing our commercial based business. We successfully settled our patent infringement litigation for EXPAREL. This agreement recognizes the strength of our IP, and establishes an exclusivity runway extending to 2039. We expanded our EXPAREL patent estate and listed our 18th patent in the FDA's Orange Book, with additional patents forthcoming. And our legal team recently secured a favorable court ruling that eliminates our RDF royalty obligation for EXPAREL. This will benefit EXPAREL gross margins by low single-digit percentage. As for the pipeline, here too we saw strong progress. First, we added a novel platform, a preclinical portfolio, and a talented research team with the acquisition of GQ Bio. Second, multiple new PCRX-201 and data sets are reading out this year. The new data continue to underscore the promise and disease modifying potential of PCRX-201 and the HCAd platform. Finally, patient dosing is officially underway in our Phase 2 ASCEND study of PCRX-201 in osteoarthritis of the knee. I'll start by expanding a bit more on the settlement of EXPAREL litigation. We believe this positive outcome recognizes the strength of our EXPAREL patent portfolio. It also provides important short and long-term visibility to confidently advance our 5x30 plan, and fortify our leadership in musculoskeletal pain. Importantly, the agreement is volume limited with no pricing restrictions, royalties or technology transfer. Fresenius and his partners are solely responsible for the future manufacturer and import of the generic product. As a reminder, this is a sole generic and a filer. Any future filer would have to overcome a significant number of legal hurdles given our growing number of Orange Book listed patents. In short, the agreement sets the stage for long-term EXPAREL growth and market expansion for the next 14 years. And with only one generic and ample room for increased penetration, we expect EXPAREL to generate significant cash flow for the foreseeable future. This provides a perfect segue to no pain. We have an important opportunity, to significantly expand EXPAREL utilization. As you know, no pain provides a reimbursement pathway for 18 million outpatient surgical procedures. Approximately 6 million of these are CMS procedures, which are now covered under no pain. The remaining 12 million procedures are covered by commercial plans, where we expect no pain like coverage and policies will be implemented over time. As a reminder, it will take time for the market to broadly adopt a new reimbursement. That said, we're seeing encouraging leading indicators in this early phase of the launch. First quarter average daily EXPAREL sales and volumes were up approximately 7% over 2024, after adjusting for two fewer selling days in 2025. This is more than double the low single-digit year-over-year growth rate reported in the last two years. Beyond EXPAREL sales, other positive early indicators include, an increase of more than 30% in both new and reactivated EXPAREL accounts, with customer expansion across all sites of care. Mounting utilization of the new EXPAREL J code, indicating a rising level of awareness around enhanced reimbursement policies. Growth within community hospitals and ambulatory surgical centers. These accounts, which typically have fewer decision makers, are embracing the no pain value proposition. We're incorporating best practices from these early wins, into our discussions with larger health systems. And formulated wins, are starting to come in for integrated delivery networks. We expect these wins, to grow as the year progresses, while we navigate the numerous stakeholders within these large scale networks. While we're encouraged by the early positive trends, it's important to keep in mind that we're driving change, for more than a decade of established processes, within complex delivery systems. As you know, claims data can take four more months to process, and we look forward to sharing quarterly updates, as more reliable market data become available in the second half of the year. On the payer front, we continue to highlight EXPAREL's value proposition to commercial plans, with real world evidence. We're pleased to see an increasing percentage of claims coming in from those plans that, have adopted no pain like policies. This too indicates a rising level of awareness among healthcare providers and organizations, about the enhanced reimbursement that is now available. Since our last call, additional commercial plans have adopted no pain like coverage, and we anticipate more to follow suit in the months ahead. Now turning to our other products, ZILRETTA and iovera. As a reminder, late last year we restructured our field based teams to prioritize EXPAREL, and maximize the opportunity of no pain. As part of our plan to establish a commercial, medical and market access powerhouse, we pivoted our existing sales force to focus on EXPAREL. In parallel, we onboarded new sales teams, to focus specifically on ZILRETTA and iovera, given specific capabilities required to service these customers. As a result, first quarter sales were impacted by the transition. Given that both products are promotionally sensitive, this should naturally subside with some time, as the team strengthens relationships and begins to hit its stride in the second quarter. In addition, our three sales force structure now has the capability and capacity, to carry additional products. For ZILRETTA, we're rolling out several new programs this spring. Among these are establishing value based contracts, with large accounts that have demonstrated interest, and are capable of driving volume growth. Broadening use within Medicare population, where we have a very good access and coverage. There is no prior authorization requirement for CMS patients, in contrast to most commercial plans. This allows ZILRETTA treatment to be administered during the same office visit that a provider decides to treat. Driving awareness surrounds ZILRETTA's unique delivery mechanism, and strong safety and pharmacokinetic profile. This allows for fewer systemic effects such as blood glucose spikes, a key advantage for diabetic patients, and their healthcare providers, and assessing strategic partnerships to expand our breadth and depth of customer coverage. In parallel with our commercial activities, our Phase 3 registration study, is advancing in shoulder OA, and on track for top line results next year. If approved, ZILRETTA would be the first, and only long-acting steroid approved for use in shoulders. This is a sizable market with approximately 1 million intra-articular injections administered each year. Switching gears to iovera, as you might recall, this year we're launching an innovative SmartTip, specifically designed for use as a medial branch block, to relieve low back pain. Millions of Americans suffer from chronic low back pain. It often leads to poor quality of life, disability, lost wages and persistent prescription opioid use. We're pleased with what we're seeing from the first phase of the launch. Initially, we're focusing on a small group of spine, key opinion leaders to gather insights and feedback, before expanding to a broader targeted audience. The medial branch SmartTip stands to grow the number of iovera procedures in the second half of the year beyond. Lastly, our registrational study of iovera, for the treatment of spasticity is advancing with top line results expected next year. There is significant lack of innovation and patient satisfaction in this debilitating condition. We believe iovera represents a novel approach for patients with moderate-to-severe spasticity seeking better treatment options. In addition to our label extension studies for ZILRETTA and iovera, we're evaluating other opportunities with near and midterm path, to revenue accretion. We're also evaluating commercial partnerships in certain key markets outside of the U.S. where we believe our products can deliver value. Turning now to our clinical pipeline, where we're focusing on becoming a therapeutic area leader in musculoskeletal pain and adjacencies. These are large markets significantly lacking innovation. Nearly one in four Americans are living with chronic pain, and are actively seeking new interventions that address its underlying costs. As we look at new product development, we're prioritizing mid to late stage derisk opportunities. More specifically, product candidates with validated mechanisms, and established reimbursement pathways. PCRX-201 is a great example that we believe has the potential to revolutionize treatment of osteoarthritis. Before I turn the call over to Jonathan, for a review of our PCRX-201 program, I'd like to highlight our recently announced stock repurchase program, and continued focus on disciplined capital allocation. This $300 million authorization doubles the amount authorized under the previous stock repurchase program. This decision underscores our commitment to delivering shareholder value, and the confidence we have in our growth outlook. We believe Pacira shares offer an attractive opportunity at the current valuation, particularly in light of the settlement of EXPAREL patent litigation. This settlement agreement solidifies a strong cash flow generating profile of our business, with the certainty of an exclusivity runway to 2039. We believe this will drive significant growth, and value and as we advance 5x30. With that, I'd like to turn the call over to Jonathan, to provide additional details on PCRX-201, and our recently acquired HCAd platform. Jonathan?
Jonathan Slonin: Thank you, Frank and good afternoon, to all joining us today. I'm excited to share a few highlights on the progress made with PCRX-201, which we believe has the potential to be an important disease modifying therapy for osteoarthritis. PCRX-201 targets the IL1 pathway, which triggers inflammation in response to pathogens and cellular stress. Importantly, this is a well validated derisk target. There are two FDA approved drugs targeting the IL1 pathway that are effectively used to treat other inflammatory conditions. These drugs are not practical for osteoarthritis as they would require very high doses, or daily injections directly into the joints. IL1-Ra is a core regulator of this pathway, and helps to keep inflammation in balance by turning it off when it's not needed. As we get older, our bodies have a more challenging time maintaining that balance. As a result, we develop chronic IL1 driven inflammation that eventually causes joint damage and pain. With PCRX-201, we are rebalancing the inflammatory scales, by mimicking the body's natural response to inflammation, at the cellular level. This targets the root cause of osteoarthritis, rather than just alleviating symptoms. We remain highly encouraged by the data, from our large 72 patient study in OA of the need. We continue to follow these patients, and have multiple new data sets reading out this year. Last month, we presented encouraging data at the Osteoarthritis Research Society International Meeting. In this subgroup analysis, a single injection demonstrated two years of improvement in pain, stiffness and function. Importantly, clinically meaningful efficacy was observed across all structural severity subgroups. This included the most severe with a KL grade of 4. Most osteoarthritis studies do not include KL grade 4 patients, as this advanced stage is particularly challenging to treat. Next week, the team will be presenting at the Annual Meeting of the American Society of Gene and Cell Therapy. Our presence will include a podium presentation, where we will be sharing immunogistic data. These data will provide important insights into the potential for redosing. As you know, this would be a key feature given that many OA patients have multiple joints impacted. We will also be hosting a clinical symposium, to highlight the advantages of our high capacity adenovirus or HCAd platform. In June, we will be at the Annual Meeting of the European Alliance Associations for Rheumatology. Here we will be presenting the three-year follow-up data from our Phase 1 study. As you know, we are advancing our Phase 2 ASCEND study in knee OA and patient dosing is underway. We expect to report top line data from Part A of the study late next year. This study is generating a high level of interest from investigators, which underscores the significant unmet need and lack of innovation in osteoarthritis. To fully describe the ASCEND study design, we have made an educational webinar available in the Investors section of our website. We invite you to watch and learn more about our development program for this exciting asset. As you know, PCRX-201, is the lead program for our recently acquired HCAd gene therapy vector platform. This platform solves many of the challenges that have made gene therapy inaccessible for common diseases. The HCAd vector is much more efficient at delivering genes into cells, compared to many other gene therapies that rely on adenovirus associated virus or AAV vectors. As a result, the desired effect can be achieved with much smaller doses. The vector used in the HCAd platform can carry up to 30,000 base pairs of DNA. This enabled gene therapy with multiple, or larger genes compared to AAV vectors. It is locally delivered and sustained. This differs from systemic approaches requiring much higher dosing to achieve the desired effect. Lower doses coupled with efficient manufacturing support a favorable and commercially viable cost of goods profile, another key advantage over other gene therapies. In addition to this novel local delivery platform, this transaction brings us key research talent and a promising preclinical portfolio. The team is carefully looking at these opportunities, which may have disease modifying potential and other prevalent musculoskeletal diseases. We also have identified numerous well validated cytokines that would be strong candidates for the HCAd platform, for those areas outside of our strategic focus, we see potential for partnering. This could extend the HCAd platform into other conditions of high unmet need, where localized treatment with a therapeutic protein is warranted. Bottom line, the HCAd platform directly aligns with our 5x30 objectives of having five novel development programs and five partnerships by 2030. It offers great potential to position us as a leading developer of novel treatments, for the underlying cause of chronic pain. It also presents the opportunity for Pacira, to be a strategic partner of choice and drive value through future royalty revenue. We look forward to sharing more details on the advancement of PCRX-201 and other HCAd based product development opportunities on future calls. With that, I will turn the call over to Shawn, for a review of the financials.
Shawn Cross: Thank you, Jonathan. I'll start with an update on sales and margin trends. First quarter EXPAREL sales increased to $136.5 million versus $132.4 million in 2024, driven by volume growth. On an average daily basis, EXPAREL sales and volumes were both up by approximately 7%, after adjusting for two fewer selling days in 2025 versus 2024. First quarter ZILRETTA sales declined to $23.3 million versus $25.8 million reported in 2024. As Frank mentioned, this was largely attributable to transition to our new sales forces for ZILRETTA and iovera. Looking ahead, we believe the foundation is set for a return to growth the remainder of the year. For iovera sales were slightly up at $5.1 million, compared to $5.0 million in the first quarter of 2024. Turning to gross margins. On a consolidated basis, our first quarter non-GAAP gross margin improved to 81% versus 72% last year. Gross margins continue to benefit from the improved costs and efficiencies, of our enhanced larger scale manufacturing process that went live last year in San Diego. As Frank noted, we had a recent win in the Nevada Court that will benefit future EXPAREL growth gross margins, by a low single-digit percentage, by eliminating RDF royalties. For non-GAAP R&D expense, the first quarter increased $23.1 million from $16.4 million reported last year. This increase relates to startup activities for the Phase 2 study of PCRX-201 expenses associated with ZILRETTA shoulder study, and product development. Non-GAAP SG&A expense came in at $76.2 million for the first quarter. This is up from $63.8 million last year. This increase is largely due to the investments in our commercial, medical and market access organization, targeted marketing initiatives and the expansion of our field force. All of this resulted in another quarter of significant adjusted EBITDA of $44.1 million for the first quarter. As for the balance sheet, we continue to be in a position of strength with $494 million in cash investments, the business that is producing significant operating cash flow, we believe we are well equipped to advance our 5x30 growth strategy, create shareholder value. We're taking a disciplined approach to capital allocation, where we're focusing on three areas. First, accelerating growth in our best-in-class based business. Second, advancing an innovative pipeline, becoming the leader in musculoskeletal pain and adjacencies, and third, opportunistically returning capital to shareholders. As Frank highlighted earlier, the Board recently authorized a new share repurchase program of $300 million. Given what we believe to be a significant disconnect in our current market valuation, this buyback authorization will run through the end of 2026. Going forward, we will continue to be highly strategic, balancing favorable operating margins, while executing our 5x30 growth strategy. We expect to prioritize opportunities that benefit operating margins, to further enhance value for shareholders. This includes carefully investing in a best practice, commercial, medical and market access powerhouse, and targeted marketing initiatives. In parallel, we will work to advance a pipeline of potentially transformative assets like PCRX-201 as we transition into an innovative biopharmaceutical organization. That brings us to our full year P&L guidance for 2025, which today we are reiterating as follows. Total revenue of $725 million to $765 million. As Frank mentioned, we are pleased with the positive early signs and growing level of awareness around no pain. That said, it will take time for broad adoption, and we expect a more meaningful uptake to begin in the second half of the year. Non-GAAP gross margins of 76% to 78%. Non-GAAP R&D expense of $90 million to $105 million. Non GAAP SG&A expense of $290 million to $320 million. Stock-based compensation of $56 million to $61 million. Lastly, for those modeling adjusted EBITDA, we expect our full year 2025 depreciation expense to be approximately $30 million. Lastly, and not surprisingly, we've recently been asked several questions about the impact of potential tariffs. As a reminder, all of our intellectual property is domiciled in the U.S., the majority of our manufacturing takes place in the U.S., and we have the capacity to allocate more EXPAREL manufacturing to the U.S. Based upon everything proposed today, we do not expect material impact on our operations. Recognizing this is an evolving situation, we are closely monitoring developments and committed to minimizing any potential impact on the business. And with that, I'll turn the call back to Frank.
Frank Lee: Thanks, Shawn. In closing, I want to emphasize the transformative journey our company has been undergoing. With our 5x30 strategy, we have a clear path for future growth and value creation. Well on our way to becoming a pioneering biopharmaceutical company, and a leader in the musculoskeletal pain adjacencies. Our best-in-class commercial based business, is generating significant cash flow and is poised for accelerated top line growth. This is anchored by EXPAREL, which developed a position to continue to set new standards in patient care, in the near and long-term. PCRX-201 our novel locally administered gene therapy product candidate, for common diseases like osteoarthritis. This exciting asset continues to demonstrate, its potential to revolutionize the treatment of osteoarthritis. Our Phase 2 development program is enrolling and on track, for the first data readout next year. And our proprietary first of its kind HCAd platform, has the potential to unlock gene therapies for common diseases affecting millions of patients. Thank you again for joining us today, and for your continued support and trust in our mission, to deliver innovative non-opioid therapies to transform the lives of patients. With that operator, we're ready to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question and it comes to line of Gregory Renza from RBC Capital Markets. Your line is open. Please ask your question.
Anish Nikhanj: Hi Frank and team. It's Anish on for Greg. Thanks for the updates this quarter and for taking our questions. Just a couple from us. First, if you could just provide some color on what proportion of patients on average are covered with Medicare, and would no pain be applicable for within each surgical segment? Are there any coverage trends within that you're taking notice of? And second on 201, what are you hearing from docs and patients, with respect to what needs to be shown, to encourage wide adoption should a therapy such as it enter the market? Thanks so much.
Frank Lee: Thanks Anish. It's Frank Lee here. Thanks for the question. So your question was about the proportion of patients covered by Medicare, and let me turn it over here to Bren, our Chief Commercial Officer, and he can speak to that.
Brendan Teehan: Sure. Thanks for the question. As you would expect, there is a little bit of a difference between inpatient and outpatient. We have more commercial coverage in the inpatient segment, a little over 50%. But in the outpatient hospital outpatient setting in ASC, it skews a little bit more towards the Medicare side on the HOCD side. And then for ASC, it's principally commercial. Almost three quarters of our business would be found commercially covered in ASCs.
Frank Lee: Anish, the second question was around 201, and what we're hearing from clinicians on what we need to show for wide adoption. At a high level what I'd say here is based on our market research, and speaking with the community, current standard-of-care provides roughly three to six months of benefit. And to the extent that we can provide a year, or more, that's considered transformative and game changing. And so that's why we're particularly enthusiastic about the two-year data we've been able to share so far. And as Jonathan mentioned, we'll be sharing our three-year data later on this year.
Anish Nikhanj: Great. Thank you so much.
Operator: Thank you. Now we're going to take our next question. And the question comes line of Gary Nachman from Raymond James. Your line is open. Please ask your question.
Gary Nachman: All right, thanks and good afternoon. So first, regarding no pain, you've talked about some of the logistical challenges with hospital systems benefiting from no pain. What are you doing to help expedite that from your end? The review programs that you have in place, and are you working with any third-parties to help you get hospitals online faster? And then, just talk a bit more about how overall education of no pain is going for physicians and hospitals in general, and where awareness is now versus, let's say, the start of the year. And then I have a follow-up?
Frank Lee: Thanks for the question, Gary. And just at a high level, before I turn it over to Bren here, at a high level, we said very, very consistently that it's going to be more the second half of the year until, we really see traction. For all the reasons we described, we are seeing some good early indicators, and certainly the things that we see in the smaller institutions and other settings we can apply, so to these bigger institutions. But then we turn it over to, to Bren to talk here a little bit more.
Brendan Teehan: Yes, thanks for the question. And I think Frank really addressed where we've seen our early progress, which I think we've translated into a path forward for larger IDNs. I think things are going largely as we expected. So in the community hospital setting, in the ambulatory surgery centers, we're seeing significant growth in adoption. And the reason we're seeing that is there are fewer decision makers, and easier to communicate the no pain message as well as the separate J code. But concurrently, we're also seeing formulary wins at IDNs, where they're expanding lines of use for EXPAREL as a function of these conversations. Now, obviously a lot of that's taken place over the last 90 to 100 days. I think the momentum you'd expect to see in IDNs would come, as has been suggested, in the latter part of the year, as it works its way through the system.
Frank Lee: So let me just add to that Gary, that as I mentioned in my comments, we have prioritized our resources to EXPAREL field force, and other field facing resources as well as in house resources. And so, this is how we're ensuring that we have focus on this. And again, as more reliable market data become available, as we progress during the course of the year, we'll be able to share with you some data that we can trend over time consistently. So the bottom line, as Bren said, is we're I think right on track with where we expected to be, and we expect that we'll continue to see the ramp with respect to no okay.
Gary Nachman: Okay. Great. And then just on the recent settlement agreement with Fresenius, now that you have line of sight of no generic EXPAREL through the end of the decade, just discuss your priorities a bit more in terms of allocating capital. So how much will you be spending on the commercial efforts to accelerate EXPAREL, versus spending on the pipeline, and also looking to expand the pipeline through in licensing deals? And would you consider doing a larger transaction, for on market products? And would you only focus on the paint space, or potentially look at some adjacencies? Thank you.
Frank Lee: Yes, thanks for the question, Gary. And before I turn it over to Shawn here to talk about capital allocation, let me just say at a high level, we're very pleased with the settlement. This is a volume limited settlement, provides visibility out to 2039. That's number one. And as you know, even in the first year it's high single-digits and it gradually goes up from that. And the last few years it's steady at a high 30s, is what we've stated publicly, right. So that combined with the fact that right now, as we've defined our market, our penetration is still relatively low, in fact in the high single-digits if you aggregate it. So we have plenty of room to grow, and we've got visibility now out to 2039. So that says context. And now let me turn it over to Shawn, for our capital allocation priorities.
Shawn Cross: Yes, thanks for the question so similar to the last time we all got together, we're just to reiterate, regularly review the capital allocation strategy. As Frank mentioned, some key areas of focus. Investing in the base business to capitalize on no pain, with the goal of accelerating top line growth, as we've articulated in the 5x30 advancing very thoughtfully an innovative pipeline, focus on musculoskeletal pain and adjacencies. And then, as we announced earlier, returning capital to shareholders Board authorized an increase in the share buyback, which is now at $300 million and it runs through the end of 2026. With regard to that particular decision, it was part of our capital allocation continued evaluation. We performed extensive analyses to that end to get to that $300 million number, and also believe based upon this positive settlement that there is a significant disconnect in the current valuation of the company.
Frank Lee: Thanks, Shawn. Let me just bring it back to maybe adding additional color on a couple of other elements here. First is, as I mentioned, overall we're low in terms of penetration as we define our TAM. And just to be really very specific, I mean we've got I think a lot of room to further penetrate in lower extremity GI, OB/GYN, OMFs, plastics, and much of which is outpatient, if you take a look at the latter few. So we're optimistic about the potential we have to further penetrate these markets and grow as we get beyond 2030. So that said, I think that in terms of the kind of capital allocation you see how we progress in a very disciplined way, to focus on our growth and the GQ Bio acquisition that we completed this quarter, I think it's a great sign of how we're being very, very disciplined, with the kind of capital that we deploy.
Gary Nachman: Okay. But it sounds like you would consider on market products. It sounds like you have some capacity within the sales force to potentially do that?
Frank Lee: Yes, great point, Gary. As I made in my comments, this restructuring of sorts that we did prioritized EXPAREL, but it also, what it did was provide capacity now for the three sales forces to not only carry our products, but perhaps additional products that we bring into the bag, new products. So I would say that that's a possibility. We'll be very, I think, disciplined in the way we look for these kinds of opportunities. And given the current market environment, I think we're in a very strong position financially, to look for those kind of opportunities and find the deal in a very disciplined way.
Gary Nachman: Okay. Great. Thank you.
Operator: Thank you. Now we're going to take our next question. And the question comes to line of Leszek Sulewski from Truist Securities. Your line is open. Please ask your question.
Unidentified Analyst: Hi, this is [Jeevan] on for Les. Thanks for taking our questions. Just a quick one from me. Are there any EXPAREL enhancements in your line of sight that could extend its life cycle or perhaps expand its label?
Frank Lee: Thanks for the question, Jeevan. What I'd say at a high level is we continue to innovate EXPAREL and as you can see from the recent patents that we've Orange Book listed the 18th one and we expect to continue that innovation going forward. So that's number one. Number two, as it relates to other, I would say indications, we don't have plans for that. We currently do have some studies ongoing, but we don't have any new plans for additional indications for EXPAREL.
Unidentified Analyst: Thank you.
Operator: Thank you. Now we're going to take our next question. And the question comes line of Hardik Parikh from JPMorgan. Your line is open. Please ask your question.
Hardik Parikh: Hi, thank you very much for taking the question. I just had a question about the gross margins and I apologize if I miss it. In the middle you mentioned about how the royalty to RDF is going to get eliminated, and now it's about low single-digits. That should help improve the gross margins. Just wondering how that was incorporated into the full year guide in terms of you reiterating it? Thank you.
Frank Lee: Thanks for the question, Hardik. As you might know, this litigation has a long history and our legal team did a great job here, of getting to a favorable resolution. And as you mentioned, this is low single-digit impact for EXPAREL. This is for overall for EXPAREL, and so we're very pleased about this. And going forward now this will help us improve margins for sure. But I want to come back to we think that overall margins will improve as we sell more product. So you know, as we drive volumes, margins will continue to improve. So that said, Shawn, you can speak to a little bit of the impact this quarter versus going forward.
Shawn Cross: Yes, we were we're very pleased to see the strong first quarter margins that exceeded our guided range of 76% to 78%. We're getting good volume output from both our EXPAREL sites, San Diego and the U.K. As we just discussed, the markets benefited from favorable RDF royalty ruling. But just as a reminder, there's a number of manufacturing variables that can result in a pretty significant quarter or quarter variability. But based upon the performance of this quarter, and what we're seeing from the teams that will of course look at margins again after our second quarter landing, and determine if an update is needed for a full guidance, full year guidance range at that point.
Frank Lee: And I guess just to add this quarter, it's a minor impact this quarter, it's really more going forward that will have a more significant impact than carryover [indiscernible].
Shawn Cross: So RDF was incorporated.
Frank Lee: I think that was your question, wasn't it Hardik?
Hardik Parikh: Yes, yes, correct. Basically why not raise a guide? And then there's a second question is just more around…?
Frank Lee: Just one other thing about that. Just, just for the guide. The other thing is obviously there are a number of headlines about tariffs these days. And so of course we're, we've been diligent at looking at that, analyzing that, and so we're comfortable with the guidance that we provided. So we're not lowering guidance, we're comfortable with the guidance that's provided, and then as we get better visibility on truly how these tariffs might, if and how they might manifest, and we can sharpen guidance as needed.
Hardik Parikh: Okay. Great, thank you. And the second question is just around pricing. So if I understand your comments correctly, I'm interpreting as pricing was mostly flat, maybe slightly down when you adjust for those lower number of selling days. So one, is that correct? And then how do you see pricing progressing for the rest of the year as GPO contracts come online?
Frank Lee: Yes, so let me turn this over to Shawn. We've pursued price as we normally do and obviously GPO contracts are slowly coming online. So Shawn?
Shawn Cross: Sure. Yes the - with regard to EXPAREL, it was gross file volume growth for the period that was. So it was all volume effectively. And then with regard to the GPOs, we've talked about this previously that there will be a mid-single-digit impact for the first year when we bring on board, knock on wood, the next final GPO, final GPO agreement, we'll be lapping the second one this coming fall, and that's how to think about a good single-digit impact.
Hardik Parikh: Thank you.
Operator: Thank you. Now we're going to take our next question, and the question comes land of Serge Belanger from Needham. Your line is open. Please ask your question.
Serge Belanger: Good afternoon. Thanks for taking my questions and apologies if you already covered this earlier in the call, just regarding surgery volumes, can you just give us a little color on what you're seeing so far first quarter, and I guess the first month of the second quarter and if the macros impacted those volumes. And secondly regarding competition, I think you mentioned that you're still at low penetration on your overall TAM. Just curious if you're seeing more competition now from other players like ZILRETTA that's it? Thank you.
Frank Lee: Well, thanks for the question. Let me take a little bit of the competition question and then turn the surgery volume to Bren. Right now we don't see any new competition that's significant. So we have a lot of room to grow. There's largely the bupivacaine, short acting bupivacaine and various cocktails that are out there pumps, et cetera. But all that said, we really think the room. We have a lot of room for penetration going forward. So that's what I'll say to that. Nothing has changed with respect to the competition and intensity. Bren?
Brendan Teehan: So yes, thanks for the question. In the first quarter we saw nominally a decline in surgical surgery room hours low single [technical difficulty].
Frank Lee: Thanks, Serge. Anything more?
Serge Belanger: No, that was it. Thank you.
Operator: Thank you. Dear speakers, there are no further questions for today. I would now like to hand the conference over to Susan Mesco, for any closing remarks.
Susan Mesco: Thank you, operator, and thanks to all on the call for your questions and time today. We are excited about the opportunities that lie ahead for us. Throughout the remainder of the year, we will continue to ensure we are well positioned for long-term success by executing our 5x30 plan to advance our mission. Thank you and be well.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect. Have a nice day.